Operator: Good morning, everyone, and welcome to Lowe's Companies Third Quarter 2015 Earnings Conference Call. This call is being recorded.[Operator Instructions] Also, supplemental reference slides are available on Lowe's Investor Relations website within the Investor packet. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call.
 During this call, management will be using certain non-GAAP financial measures. The supplemental reference slides include information about these measures and a reconciliation to the most directly comparable GAAP financial measures. Statements made during this call will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995.
 Management's expectations and opinions reflected in those statements are subject to risks, and the company can give no assurance that they will prove to be correct. Those risks are described in the company's earnings release and in its filings with the Securities and Exchange Commission.
 Hosting today's conference will be Mr. Robert Niblock, Chairman, President and Chief Executive Officer; Mr. Rick Damron, Chief Operating Officer; and Mr. Bob Hull, Chief Financial Officer.
 I will now turn the program over to Mr. Niblock for opening remarks. Please go ahead, sir. 
Robert Niblock: Good morning, and thanks for your interest in Lowe's. I'm pleased that we delivered another solid quarter with comparable sales growth of 4.6% or 9.7% on a 2-year basis. Our comp growth was balanced with a 2.5% increase in comp transactions and a 2% increase in average ticket. Our U.S. home improvement business achieved 5% comps for the quarter with all 14 regions generating positive comps. While our businesses in Canada and Mexico delivered high single-digit comps in local currency, our consolidated comp was negatively impacted by foreign currency translation.
 We generated positive comps in 12 of 13 product categories with outdoor power equipment delivering flat comps on top of double-digit comps last year. We had strength in seasonal living as customers took the opportunity to extend the outdoor season, driven by warmer and drier weather early in the quarter. Tools and hardware also performed well as both Pro and DIY customers responded to the improvements we continue to make in our assortment, further enhanced by exciting home center exclusives. And our strong brand and service advantage in appliances continue to drive double-digit comps in the category for the fourth quarter in a row. 
 Lastly, our Pro business also performed well as we continue to build deeper relationships with the Pro by enhancing our product and service offering to meet their unique needs.
 For the quarter, gross margin expanded 26 basis points, and we effectively controlled expenses, delivering 130 basis points of operating margin expansion and earnings per share of $0.80, a 36% increase over last year's third quarter.
 Delivering our commitment to return excess cash to shareholders, in the quarter, we repurchased $750 million of stock under our share repurchase program and paid $260 million in dividends.
 We've been working to improve our product and service offering for the Pro customer and differentiating ourselves through better customer experiences that make us the project authority. And we continue to enhance our omni-channel capabilities, transforming our brand from a multi-channel offering, in-store, digital, in-home and by phone to an omni-channel experience where all of our channels work in concert with one another. To clarify, this transition is -- this transformation is about much more than growing our e-commerce business. Our efforts were centered around supporting customers at every step of the home improvement journey and building greater affinity for the Lowe's brand. I'm particularly encouraged by the momentum we're gaining through increased engagement with our in-home selling efforts. 
 During the third quarter we expanded our Project Specialist Interiors program to an additional 475 stores and now offer the program in 1,365 stores across the country. Coupled with our Project Specialist Exteriors program, which is available at all U.S. home improvement stores, and our highly motivated team of account executive ProServices who continue to strengthen relationships with regional Pro customers, we have a strong outside selling force of more than 3,000 people who are able to meet customers on their terms either in their home or at their place of business.
 The execution of our strategic priorities alongside a favorable macroeconomic backdrop make this an exciting time for Lowe's. In fact, the forecast for key drivers of the home improvement industry remain conducive for growth at least through 2017. Steady job and income gains coupled with persistent home price appreciation and strengthening homebuying should keep home improvement growth buoyant. We continue to be pleased with the results of our quarterly consumer sentiment surveys. Most encouraging this quarter is that the desire to invest in the home continues to grow as survey respondents are indicating that growth in their home improvement spending is outpacing increases in their overall spending. In fact, the number of homeowners indicating that their home improvement spending increased has almost doubled since 2012, boosted by the persisting recovery in home prices.
 This trend underscores the opportunity we have to address the needs of 75 million homeowners across the country who are increasingly willing to engage in home improvement projects in addition to the 5 million who relocate or move into a new home each year.
 Before I close, I'd like to express my appreciation for our employees' purposeful commitment to serving customers. In particular, I'd like to thank those Lowe's team members who worked diligently to assist our neighbors that were impacted by the historic flooding in South Carolina. In addition to working round the clock to ensure our stores in the affected communities were able to provide products needed for storm recovery efforts, many of our employees also pledged their time to help individuals in need. 
 Thanks again for your interest. And with that, let me turn the call over to Rick. 
Rick Damron: Thanks, Robert, and good morning. As Robert shared with you, we delivered another solid quarter. The team executed well, driving traffic to our stores growing both transactions and average ticket for the quarter. Our appliance category experienced the strongest growth in the quarter producing double-digit comps. 
 In addition to our leading brands and service advantages in this category, our investments in customer experience are also having an impact both in-store and online. We have further enhanced our appliance offering with the introduction of 17 appliance suites showcasing coordinated appliances, allowing customers to visualize how their appliance purchase will fit into their space not just as a single replacement purchase but as a full set of new appliances. And because we understand that more than 80% of customers begin their appliance purchase by researching and shopping online, we have enhanced our customer experience and presentation on Lowes.com, including improved product search, enhanced videos, upgraded presentation by 360-degree views and simplified product groupings. In fact, J.D. Power and Associates ranked Lowes.com the #1 appliance retailer website for 2015. Our continued focus on improving the omni-channel customer experience together with leading brands, breadth of assortment, competitive pricing, knowledgeable sales specialists as well as delivery and haul away combined to drive our share gains in appliances.
 Seasonal living also outperformed as we effectively anticipated customer needs and capitalized on favorable weather conditions. Warmer weather in the north and west in the first half of the quarter drove strong demand for air conditioners, and we were able to meet that demand, thanks to the flexibility and capabilities of our distribution teams as they worked efficiently to move product. 
 Further, our customer experience design capabilities continued to pay dividends. These capabilities were first introduced with the outdoor living experience showcasing patio and outdoor fashion, which recorded strong comps again this quarter. Along with the strong sales of patio furniture, we continue to see an increase in attachment of related products such as cushions and other outdoor accessories. 
 Our customer experience design capabilities take advantage of our larger store format to produce a showroom feel and create a more shoppable environment, which drives higher customer engagement and stronger attachment rates. The layout and adjacencies also make it easier for store associates to offer a more coordinated project solution to meet customer needs. As we transition to fall, we leverage this capability to create a seasonal stage to anticipate customers' needs for the season like planting, leaf removal and exterior maintenance. And as winter arrives, we will continue to leverage this capability and seasonal stage to help customers refresh their homes for holiday guests, decorate then organize their home after the holidays. 
 This quarter, we also saw above-average comps in tools and hardware, driven by strong demand as well as our expanded offering, including continued innovation from brands such as Stanley Black & Decker, Hitachi, Bosch, DEWALT, LENOX and IRWIN, and improved brand relevance in critical categories like pneumatics with our expanded line of Hitachi pneumatic nailers and fasteners, a home channel exclusive to Lowe's. We recently completed the reset of our pneumatics destination featuring the 3 strongest brands in the category, Hitachi, Bostitch and Paslode. Our pneumatic brand partnerships make us a clear destination for pros and create opportunities to be more relevant to their business.
 Our paint performance was in line with the industry with a low single-digit comp. With our launch of HGTV HOME by Sherwin-Williams at the beginning of the second quarter, we are now providing our customers with top brands they trust for their next paint project. Olympic provides quality at a lower price and easy application. Valspar specializes in color authority with their Love Your Color Guarantee, and HGTV HOME by Sherwin-Williams provides a strong brand recognition, designer coordinated colors and quality customers trust. Paint employees are now able to meet the needs of both DIY and Pro customers who have been shopping us for paint sundries and requesting Sherwin-Williams.
 We also continue to see strength in our portfolio of Pro-focused brands. In addition to the brands we rolled out in the first half of the year, including Goldblatt masonry tools, GAF roofing, Owens Corning insulation and Lennox HVAC, we are proud to introduce Masonite entry and interior doors, offering a key brand that pros know and trust. These new brands continue to build a momentum with the Pro customer and also represent the powerful partnership between our ProServices and merchandising teams as we work together to incorporate Pro feedback into a better offering and experience. This commitment is also evident in the assignment of field-based merchandising managers who are working closely with the Pro customer to identify local market opportunities and introduce products optimized to local norms to be more relevant with the Pro.
 Along with strengthening our brand portfolio, we relaunched LowesForPros.com at the beginning of the second quarter, making it easy for pros to manage multiple properties and purchase items like appliances for their locations nationwide. This full omni-channel experience allows pros to easily order online and choose their preferred fulfillment option of parcel, store pickup or store delivery, saving them time and money. We are also reconnecting with pros who have not recently purchased from Lowe's to show them what's changed in our stores and online. We're using targeted marketing as well as pro-focused events to drive awareness and generate new business. For example, September was Pro Appreciation month. During the event, we offered vendor demonstrations, special values on core Pro products throughout the store and drove awareness of the support we provide like job site delivery and credit offers. 
 Our focus on strengthening our portfolio of brands, serving Pro customers through our account executive ProServices team as well as the recent relaunch of LowesForPros.com are part of a broader commitment to build on our strong foundation with the Pro. 
 In addition to our efforts to drive top line growth, we continue to focus on driving productivity and profitability. During the third quarter, our store teams once again effectively managed payroll, increasing sales power in line with comps. We continue to leverage our power investments, optimizing store labor to meet customer demand and continue to focus on shifting more hours to customer-facing roles. Most importantly, we have achieved this greater payroll efficiency while improving customer satisfaction scores. We also drove productivity in marketing by using a robust set of analytic tools to optimize our media allocation, leading to a reduction in print advertising and an increase in digital advertising and an expansion of social media, increasing the efficiency and effectiveness of our media buy and improving our advertising spend, all while maintaining our customer reach and improvement exposure. While we've already seen positive results from this work, media optimization is a multi-year effort and opportunity. 
 We also continue to identify and implement additional expense efficiencies by consolidating the procurement of similar types of goods and services across our corporate and store functions. For example, this year, we have worked cross-functionally to streamline the procurement process for supplies used across our stores, distribution centers and our corporate office. Early results are favorable with savings across multiple lines. We have also worked to increase profitability for the services we offer without impacting the customer experience. 
 For example, as part of our appliance offering, we provide service advantages such as free delivery and haul away. This year, as part of our appliance recycling program, we work directly with the end-recyclers to increase recycling income despite a decline in the metals commodity market. 
 As you can see, we are pleased with the third quarter results and the continued progress of our initiatives to drive top line growth, productivity and profitability. We look forward to sharing further progress with you over the coming quarters. Thank you for your interest in Lowe's, and I will now turn the call over to Bob. 
Robert Hull: Thanks, Rick, and good morning, everyone. Sales for the third quarter were $14.4 billion, an increase of 5%, driven primarily by comp sales. Total cost per transactions increased 2.8%, and total average ticket increased 2.1% to $67.34. For the quarter, comp sales were 4.6% as comp transactions grew 2.5% and comp average ticket increased 2%.
 The monthly comps were 5.1% in August, 4.8% in September and 3.7% in October, while the monthly 2-year stack accelerated through the quarter.
 Year-to-date sales of $45.8 billion were up 4.9% versus the first 3 quarters of 2014 driven by a 4.6% increase in comp sales and new stores. Gross margin for the third quarter was 34.75% of sales, which increased 26 basis points over Q3 last year. The increase was driven primarily by better sell-through of seasonal products and product cost deflation. Year-to-date gross margin was 34.87% of sales, an increase of 5 basis points over last year.
 SG&A for Q3 was 22.89% of sales, which leveraged 91 basis points, driven primarily by 4 items. Advertising expense leveraged 17 basis points as we transitioned to a more efficient and effective media mix. The proprietary credit program leveraged 16 basis points due to continued growth in the program and lower operating costs. Costs associated with building maintenance and repairs leveraged 15 basis points, largely due to the timing of projects as more of them occurred in the first half of the year versus last year.
 Store payroll leveraged 13 basis points as we continue to optimize hours against customer traffic. Numerous other expense lines also leveraged as a result of sales growth. Year-to-date SG&A was 22.55% of sales, which leveraged 60 basis points versus last year. Depreciation for the quarter was $375 million, which was 2.61% of sales and leveraged 13 basis points compared to last year's third quarter as a result of sales growth. 
 In Q3, earnings before interest and taxes or EBIT margin increased 130 basis points to 9.25% of sales. For the first 3 quarters of 2015, EBIT margin was 9.89% of sales, which was a 79 -- which was 79 basis points higher than the same period last year. 
 For the quarter, interest expense was $141 million which is flat to last year as a percent of sales. The effective tax rate for the quarter was 38%. 
 Net earnings were $736 million for the quarter, an increase of 25.8% over Q3 2014. Earnings per share of $0.80 for the third quarter were up 35.6% to last year. For the first 9 months of 2015, earnings per share of $2.70 was in line with our expectations and represented a 20.5% increase over the same period last year. 
 Now to a few items on the balance sheet starting with assets. Cash and cash equivalents at the end of the quarter was just over $1.2 billion. Our inventory balance of $10.4 billion increased $672 million or 6.9% versus Q3 last year. The increase was driven by timing associated with seasonal builds. Inventory turnover is 3.85, up 12 basis points over last year. Asset turnover increased 10 basis points to 1.75.
 Moving on to liabilities. Accounts payable of $7.3 billion represented a 13.6% increase over Q3 last year caused by the timing of purchases year-over-year. In the third quarter, we issued $1.75 billion of unsecured bonds. The bonds consisted of 3-, 10- and 30-year issuances with a weighted average interest rate of 3.45%. A portion of the proceeds was used to repay a $500 million obligation in October. At the end of the third quarter, lease-adjusted debt-to-EBITDAR was 2.17x. Return on invested capital increased 276 basis points for the quarter to 15.78%. 
 Now looking at the statement of cash flows. Operating cash flow was $4.5 billion. Capital expenditures was $844 million resulting in year-to-date free cash flow of $3.7 billion. In September, we entered into a $500 million accelerated share repurchase agreement. We expect to receive approximately 7.3 million shares but the ultimate number of shares will be determined upon completion of the program in the fourth quarter. We also repurchased approximately 3.5 million shares for $250 million through the open market. In total, we purchased $750 million in the quarter. We have approximately $4.1 billion remaining on our share repurchase authorization. 
 Looking ahead, I'd like to address several of the items detailed in Lowe's business outlook. As Robert noted, the forecast for key drivers of home improvement industry remained conducive for growth. And as our year-to-date performance is in line with our expectations, we are maintaining our outlook for the year. We expect a total sales increase of approximately 4.5% to 5% driven by comp sales increase of 4% to 4.5% and the addition of 15 to 20 stores, which includes 5 Orchard and 2 city center locations. We're anticipating an EBIT increase of 80 to 100 basis points and are targeting 25 to 30 basis points of EBIT expansion per point of comp above 1%. While this is our expectation for the year, as we've seen, there will be some choppiness quarter-to-quarter. 
 For the year, we expect that most of the EBIT improvement will come from SG&A. Expense leverage will come from store payroll, marketing and leveraging our scale to achieve cost savings on indirect spend. In addition, we expect fixed cost leverage associated with sales growth.
 The effective tax rate is expected to be 38.1%. The higher rate relative to 2014 is a result of  settlement of prior tax matters recognized in Q1 2014. The higher rate negatively impacts earnings growth by roughly $0.06 per share. For the year, we expect earnings per share of approximately $3.29, which represents an increase of 21.4% over 2014. 
 We are forecasting cash flows from operations to be approximately $5 billion. Our capital forecast is approximately $1.3 billion, which results in estimated free cash flow of $3.7 billion. We will continue to manage to the 2.25x lease-adjusted debt-to-EBITDAR target. Our guidance assumes approximately $3.8 billion in share repurchases for 2015. 
 Regina, we're now ready for questions. 
Operator: [Operator Instructions] Our first question comes the line of Simeon Gutman with Morgan Stanley. 
Simeon Gutman: The first question, I think, it could be a key question of the quarter is the flow-through, which was a welcome improvement. My question is on the sustainability of it. You've been discussing it especially in the back half, some indirect expenses coming out of the business, and I think Q4 also screens pretty well for it. So as we head into Q4 into next year, any reason why we shouldn't see this type of incremental margins continue? 
Robert Hull: So Simeon, no. As we think about Q4, the drivers that came to fruition in Q3 should remain for Q4. Obviously, our outlook is 25 to 30 basis points of EBIT expansion per point of comp above 1%. In Q4 we do have tougher comparisons going up against a 7.3% comp for Q4 last year. So the EBIT expansion will be largely determined based on the comp growth in the quarter. But the factors that drove the 130 basis points in Q3 should remain going forward. 
Robert Niblock: And Simeon, this is Robert. Just as we indicated throughout the year, this year, as we've had our quarterly earnings releases, we give guidance for the year with the flow-through, but there can always be choppiness quarter-to-quarter just like you've seen this year. But on an annual basis, it's basically what Bob has told you from a guidance standpoint. 
Simeon Gutman: Okay. And then second -- the follow-up, you mentioned the Consumer Sentiment Survey that the growth in home improvement is outpacing spending. Can you -- do you have additional context on that? Is the rate of what they're going to spend in home improvement, how is that changing? 
Robert Niblock: If you look at -- once again, this is -- Simeon, as we survey our customers and what they tell us were their intentions with respect to spending, and we look at -- overall, their level of spending is not increasing, but the amount that they're allocating to home improvement, they're indicating that they're spending more in home improvement than obviously how much of that winds up in our channels, which you have to look at. But it was a significant increase over what we had seen last year on the third quarter. And as you know, sentiment doesn't always turn into action, so it's a leading indicator. But we think that the -- you look at what's happening in the overall microenvironment and we look at what's happening with home prices, it once again speaks to the fact that consumers are reengaging in discretionary spending around the home. And so when we see them leaning that way, it gives us confidence in all the numbers that are built into our outlook for the remainder of this year and also as we lean into 2016, but we did see a nice pickup at what their intentions were. 
Simeon Gutman: Right. And then the survey, does this push into your 2017, I guess, your outlook? Or is there other factors that more of a macro look? 
Robert Hull: These are the same factors that we used to provide the 2007 (sic) [2017] outlook at the analyst conference last year. Obviously, the drivers of our business, income and housing, right? So as we think about more people working and starting to see some wage appreciation. Those are positive factors that had been on the housing front. Housing turnover continues to pick up, and we see ongoing home price appreciation. So all the macro factors that drive our industry continue to line up for sustained growth through 2017. 
Operator: Your next question comes from the line of Matthew Fassler with Goldman Sachs. 
Matthew Fassler: My first question relates to inventories. If you can just give us a little more clarity about the increase, which was a bit of a departure for you. And also whether or how we should think about the relationship between that inventory number and your gross margin increase, if any. 
Rick Damron: Matt, I'll start. This is Rick. The 6.9% increase in the inventory reflects our preparation for our Q4 events coming up as well as being in stock on some critical items our customers deem to be most relevant. So the increase is really driven by timing associated with getting inventory in for our events for Q4. Looking forward, as we look into year-end inventory in Q4, we expect our inventories levels to be marginally higher, but this is being primarily driven by the timing of the Chinese New Year, which is roughly 11 days earlier this year than last, which pushes some order purchases earlier in the cycle for their seasonal build for 2016. But when you look at the number in totality, it's really driven by our preparation for Q4. 
Robert Hull: Matt, the second part of your question related to gross margin. We don't see any gross margin pressure. This is -- as Rick said, this is inventory purchased for anticipated sales in the quarter, nonperishable product. And the other item I would add is really no working capital impact as we've seen a corresponding increase in accounts payable. 
Matthew Fassler: Got it. And just a quick follow-up. You did everything you said you would do on the margin net expense front in the third quarter. In the fourth quarter, you certainly need to do it again. Now I know that the drivers of expense leverage were pretty diverse, given a bunch of different places. As we think about the fourth quarter drivers, anything you would point to, in particular? 
Robert Hull: No. That's really the same drivers, so we should see some, again, modest gross margin expansion. We all see leverage in credit and bonus, in advertising, in store payroll. So all the factors that drove Q3 should, again, drive operating margin expansion in Q4. 
Operator: The next question comes from the line of Peter Benedict with Robert Baird. 
Peter Benedict: I was wondering, can you talk a little bit about the Pro marketing efforts in the second half. I know you mentioned September being the Pro Appreciation month. You've done a lot of work to kind of get the foundation in place to serve the Pro better. Can you talk about -- or give us a sense of how you're going to be speaking to the Pro more aggressively over the next several quarters? 
Rick Damron: Peter, this is Rick. As we think about the Pro, we continue to leverage our account executive ProServices teams to meet with Pros on their job sites to really understand what their needs are and where they're moving. We continue to leverage our in-store teams and our account management processes to make sure that we're communicating effectively around the relevant products for the particular time of the year and the particular jobs that we're working on. And then from a mix perspective, most of our Pro marketing is really targeted messaging from a direct communication standpoint, targeted messaging through email or radio. So we'll continue to build upon what we've done over the last several quarters, leveraging both our field teams as well as our marketing programs to communicate effectively with the Pro. 
Michael Jones: And just to build on that, you see us leverage some of our digital assets as well. So we talked quite extensively about LowesForPros.com. Gives us a [indiscernible] reach the Pros [indiscernible] some of our more creative online techniques to get the right promotion in front of the Pro at the right time. You see us -- as we continue to migrate more towards digital away from print, with Pros, you'll see us take a slightly different balance where we use some print to talk to them as well. I think the key is that what we've done is we've made a considered effort to make sure we have the right brands that Pros need. And now we're starting to reach out to those Pros much more efficiently and effectively, so we can get the right promotion along with those brands in front of the Pros. 
Peter Benedict: And then just maybe a follow-up for Bob, the 2.25 leverage target. I know you've been operating below that to a degree. I mean, it sounds like you got your view on the macro continues to kind of get better. What conditions do you think need to be in place for you to kind of get to that 2.25 level, if you can share that? 
Robert Hull: Sure. So it's a couple of things, Pete. So it's a matter of forecasting. Number one, we were at 2.17x into Q3, so not too far off. As we think about the fourth quarter, we've got a perspective on sales and profitability, perspective on working capital. It's just a matter of how close do we want to balance the borrowing at year end relative to our expectations. So we expect us to be somewhere in the 2.15 to 2.25x range at year end. 
Operator: Your next question comes from the line of Christopher Horvers with JPMorgan. 
Christopher Horvers: So store payroll leverage showed some very nice improvement from 2Q. Can you talk about what's driving that overall? Is there something more systematic going around, around labor management systems? Is it process improvement? Is it focus? Any detail there would be great. 
Rick Damron: Yes, Chris. This is Rick. As we continue to look at store labor, we've talked about the tools that we've deployed to help our store teams and our field teams manage our labor more to customer traffic. So we're continuing to see those tools play dividends for us as we continue to match our hours more to traffic. We continually focus on making sure that we're doing everything possible to increase our customer-facing roles. Most of that is through process improvement as well as the utilization of technology within the stores, making it simpler for our employees to engage with the customer and improving our processes that make it easier for them to interact, both with the customer as well as through the tasking process that we have within our stores. Chris, one of the things -- to give you an example of something that seems simple that can have a significant impact is we're now leveraging one of the tools that we used in our stores, which is the wayfinding app on our digital platforms. And now we incorporate that information on every product label for every item shipped from our distribution center. So when that package arrives, it will tell the employee the exact aisle and bay location that product stops. So as you imagine, tremendous efficiency for newer employees and try to manage and navigate our stores makes the whole process much more effective, much more efficient. We transferred several of our processes that were manual paper-driven processes to more technology-driven, leveraging the iPhones and the iPads that we've deployed into our stores to make them more efficient. So what you're seeing is an accumulation of better tools to drive greater payroll efficiency, the continued focus on making sure that we're leveraging customer employee hours to customer traffic and then the continued work to drive greater productivity through the tools that we provide our employees. 
Christopher Horvers: And so do you think -- because it was a lot better in 3Q versus 2Q, do you think that this is the inflection that truly gelled around the payroll management process as you look forward? 
Rick Damron: Yes, as we continue to look forward, I think we'll continue to see solid payroll efficiency. 
Christopher Horvers: Okay. And one of the questions that we're getting is the performance in October and how to interpret the deceleration. 2-year stacks did accelerate and they did look very strong, but if we held stacks into 4Q, it would suggest comps decelerated about 200 basis points. So anything to point out there around October, and your thoughts about the current quarter? 
Robert Hull: So Chris, in the quarter, weather has no net impact to the 3-month period. We did have favorable weather in the first part of the quarter, a little tougher weather toward the end of the quarter. Second, as you suggest, we did see a 2-year stack acceleration throughout the quarter. So we feel really good about our ability to deliver comp on comp. As we look to 4Q, we would expect further acceleration on interior basis into Q4. As it relates to November to date, we are in line with our expectations, and we're really excited about Q4. 
Operator: Your next question comes from the line of Laura Champine with Cantor Fitzgerald. 
Laura Champine: You did a good job of expanding gross margin despite such strength in appliances, which is typically a lower margin category. What is your expectation in Q4 for mix's impact on your gross margins? 
Robert Hull: So mix should have a negligible impact. As Rick noted, we're now into 4 straight quarters of double-digit appliance comps. So we've cycled some tougher compares although appliance has continued to perform well. So mix should be a little bit less pressured in Q4 and going forward for that matter. 
Operator: Your next question comes from the line of David Schick with Stifel. 
David Schick: Rick, a question for you or maybe Rick and Mike. You're talking about sitting down with the Pro and the merchandising changes and all of that. Where do you think the balance of the opportunity is in the Pro? Is it Pros you already have spending more? Or is it Pros you're not reaching? And if so, where are they coming from? 
Michael Jones: This is Mike Jones. I'll start. We think the answer is yes. We think it's the Pros that we really have spending have more, and we know that there are Pros today that have -- that drive past us to go someplace else. And we know we can do a better job at bringing them into our stores. And so we started by ensuring that we have the right inventory depth, the right brands, the right local market assortment. And as that was corrected, we feel real comfortable about where we are. From there, we started to turn on our marketing so that we can start to invite those Pros back in. So we're excited about both the Pros we have and still a big part of our business, and we're excited about the Pros that historically have purchased someplace else that can now come in and try and experience at Lowe's. 
Rick Damron: Yes, Dave, this is Rick. I'll just add when we look at the Pro, in general, we're very excited about what we're seeing from both a transaction point of view and a comp across all ticket ranges. So when you look at comps by ticket size and the way that we evaluate those, we're seeing positive growth across all tickets, which is telling us that we're getting some new accounts in, but we're also selling our existing accounts more. The other thing, through our Pro Appreciation events and what we're doing to really target Pros to the new brands, the increased inventory depth and our 5 ways to save value propositions we're doing, we saw a strong double-digit growth in new accounts during Q3 as well. So I think that also goes to support the fact that we're becoming more relevant, that the brands that we're introducing are having increased awareness with the Pro, and then the aspects of services that we're providing is beginning to resonate as well. 
David Schick: Great. As a follow-up, Bob, you mentioned more efficient and effective media mix. I understand a think the efficient side. Could you give numbers on effective in terms of how many you're reaching or some way for us to think about that? 
Robert Hull: So I'll start and let Mike jump in. So, Dave, we're doing some media mix modeling. So we're trying to understand impact of different mediums on different markets, and we're adjusting according. So ultimately, we're taking a look at the most effective yield, which is the sales dollar yielded for $1 of marketing spent. We have shifted some -- as Rick mentioned in his prepared comments, we've shifted some dollars away from print towards more digital assets. We are able to reach more folks on a very cost-effective way, which gets into the effectiveness of inefficiency of marketing. 
Michael Jones: And just to build on it, if you look at the way we've remixed our advertising and marketing spend, we're moving more towards digital, more towards social media, and less out of some of the more traditional one, advertising vehicles. I'll give you some numbers, the way to think about this. So just looking at social media. Lowe's followers on Facebook are over 3 million. Pinterest, just about 3.5 million followers. Lowe's video views, well over 70 million. So we see -- one of the easiest ways for us to track is just watch our activity in social media. Our digital footprint is very, very large, and we continue to increase it. So we're quite proud of the work that's happened there. 
Operator: Your next question comes the line of Budd Bugatch with Raymond James. 
David Vargas: This is David Vargas on for Budd. On the Pro business, can you tell me what the Pro penetration was this year versus last year? And also what categories within Pro saw the strongest comp sales growth? 
Robert Hull: So David, the Pro isn't an exact science. We have some direct measurements of them relative to managed accounts and credit vehicles. There's some imprecise measures. Currently, the Pro mix is about 30%. It's grown -- in the past 3 quarters, it's grown in line with the company average. The fourth quarter last year was a little bit faster, so that would suggest it's migrated from a little bit higher in that 30% range. 
David Vargas: Okay. And then what categories did you see the strongest growth in year-over-year? 
Michael Jones: A couple actually. I'll pick on our tools, where we've really worked diligently to get the right brands. So we've added brands like IRWIN and LENOX. We've added Hitachi. We've added Goldblatt, as an example. You couple that with brands like DEWALT, Kobalt, Porter-Cable and Bosch. We saw a double-digit growth in pneumatics. We saw a very strong growth in cordless[ph] power tools and accessories and rotary tools. And we watched tools, in particular, because it's a good indicator of how well we're engaging the Pros. And this isn't just adding brands by happenstance. If you look at the way we've added brands around pneumatics, we've added Hitachi to complement our offering in Bostitch and Paslode. So we have the 3 best brands in pneumatics. If you want to buy pneumatic as a Pro, we feel that Lowe's is certainly the best place to come. And so we look at each category. We strategically say how to best serve the Pros. We build brands that complement one another. And from there, we increased our relevant engagement with the Pro. But we certainly saw it in tools, we see it across the stores as we continue to grow our Pro business. 
David Vargas: Got it. And then finally, one more question on just the consumer in general. What are you seeing this year versus last year in terms of customer spend on large-ticket discretionary like kitchen remodel, bathroom remodel? And are they moving towards more of that discretionary spend from, I guess, general maintenance and repair of large ticket items? 
Robert Niblock: I'll start. This is Robert, and I'll let the other guys finish. Certainly, when we look at consumer's discretionary versus nondiscretionary spend, we're seeing that when you combine small and large discretionary spend, what they're telling us is that more than 50% of their spend is on a discretionary basis, which is tripped over from where it would have been prior year. So we're seeing it move above that 50% level. When you look at -- and we've talked about appliances being double-digit comps for the quarter, we've talked about some of the project spending and initiatives that we're putting behind that, whether that's Project Specialist Interiors, which is major interior remodels, or Project Specialist Exteriors, which is the exterior programs we do, fencing, siding, new windows, those type of things. Both of those had -- both of those programs had double-digit comps in the quarter. So appliances, PSI, PSE, all running double-digit comps in the quarter. So we are seeing that consumer take on that willingness to spend around the home on discretionary projects, driven by, as I said in my comments, the macro factors as well as continued comfort that comes from home price appreciation that they're seeing. 
Robert Hull: Yes, and I would add in addition to Robert's comments is if you take a look at tickets above $500, comps at 7.2%, so continue to see strong growth in the big-ticket categories. 
Operator: Your next question comes from the line of Mike Baker with Deutsche Bank. 
Michael Baker: I'll finish up with -- or it looks like we're getting towards the end with one bigger picture question. This is for Mr. Niblock. You're still a couple of hundred basis points away from your peak operating margin, but I think, as you guys like to say, you have a line of sight to it. When you start to get to that double-digit operating margin, how do you think about balancing further margin gains with some top line initiatives? Ever so subtly, you're increasing your store count growth in other regions, in other formats. Your competitor just made an acquisition. How do you think about maybe some new top line growth initiatives to balance that margin gain? 
Robert Niblock: It's a great question, Mike. When you think about it from where we had peaked our operating margins previously to where we're at today and trying to hone back in on that, we really are a totally different company. If you think about back in those days, it was single channel. We were on a rapid expansion of the store footprint, we think the store is still the nucleus of our relationship with the customer, but the store in and of itself is not enough. We really have to be there on an omni-channel basis for the customers. So that's why everything we've been investing in for the past few years is really to be able to deliver that omni-channel offering, so that we take those stores, we continue to build on those and leverage, and we -- the PSI, PSE programs that we just talked about, whether it's the improvements that we've made on dot-com, whether it's all the improvements that we've made with the Pro customer to really get us back to the fore, whether we can look at other opportunities to try and grow that top line. So certainly, we expect to continue to have gross margin -- I mean, operating margin improvement, continue to have nice flow-through that will drive our comp sales improvement like the guidance that we've given you, but we will continue to look at how are the other opportunities -- as the consumer changes, the way the consumer wants to interact with us changes, what are the other opportunities where we can do things that will continue to allow us to pursue opportunities for growth, particularly in a recovering market and the affinity that we're seeing with the consumer around investing in the homes. So whether it's stuff like LowesForPros.com that we invested in because we know that that was a key gap that we had there, whether it's rolling out the additional PSI programs like we added this quarter in the store, you'll see us looking at ways that we can continue to make sure that we're responding to where the customer wants to go and will -- whatever that ends up being, we'll end up evaluating that, but also use the base stores we have to continue to drive nice flow-throughs. 
Michael Baker: Okay. One follow-up on the previous question, you had said that more than 50% of spend as you talk to your customers is discretionary. Can you tell us where that was at a peak probably 2006 or '07, and where it troughed out when housing crashed. 
Robert Niblock: I don't know -- I don't have the numbers back before the peak as to the exact numbers as to where it was at. That would be back in the 2000... 
Robert Hull: 2009 is when we started the survey. 
Robert Niblock: 2009 is when we started the survey, Bob is saying. So we don't have numbers back before the decline. 
Robert Hull: So what we are seeing, though, is a greater proportion of customers telling us they're leaning into the big-ticket discretionary from smaller-ticket discretionary as you think about greater consumer sentiment and confidence around their personal job situation. There's home appreciation, they're starting to think about those bigger ticket discretionary projects. 
Operator: Your next question comes the line of Michael Lasser with UBS. 
Michael Lasser: So how do we think about the underperformance for the below-average comp in categories like kitchen, millwork, flooring in light of your commentary about the success of the Project Interior Specialist program? 
Michael Jones: This is Mike Jones. The categories were below average. But driven largely by the strength in appliances and seasonal living, we had a couple of categories like millwork and OPE that were up against significant comps well into the double-digit comps last year same time. So I think the Consumer Sentiment Survey is probably a better indicator. They're looking at the distribution of our above average and below average. I'd just encourage, keep in mind that all of our categories are positive with the exception of OPE, which was about flat. So, again, we're pretty encouraged by what we see both on the big ticket as well as on the transaction side of our business. 
Michael Lasser: So then if we assume that those 2 categories added about 100 basis points to your overall comp, do you think that the market in the areas surrounding your store for categories like kitchen, flooring, appliance, millwork is growing in the 3% to 4% range? 
Robert Hull: I can say that the categories that you asked about did comp in the 3% to 4% range. As Mike said, they were positive, but they were below the company average based on the strength of the appliance and seasonal living businesses. 
Michael Lasser: Okay. Is that the rate of growth you would expect at this point in the cycle for those categories? 
Robert Hull: So the market-specific growth is based on the state of the economy and housing in those markets, so that the factors that drive the macro Lowe's business also drive each individual market, housing and incomes in those markets, some higher, some lower, depending on where they are in the housing cycle. 
Michael Lasser: Got it. My last question is -- and I'm sorry, to pick on all the categories, but paint has been below the company average for 5 quarters in a row despite the launch of some new products within the category. Can you talk about the reason for the underperformance, especially -- because paint is a category that's attached to a lot of other home improvement products whether it's inside or outside of a house. 
Michael Jones: Sure, I can talk to that. The paint industry, in total, is below the average. And so our paint performance is about in line with the industry. I'd say we're not satisfied with that. We want our paint performance to be above the industry as are most of our other business units. That's how we've seen good momentum with HGTV HOME by Sherwin-Williams. We've got a great relationship with Valspar and with PPG with the Olympic brands. We've leaned pretty heavy into some promotions around paint as I'm sure you've seen. Our promotional cadence year-over-year is about the same, but we did redirect a little more towards paint, and we're pretty excited about our paint lineup. But that said, the industry is below the average, and we're running about average with the industry. 
Operator: Your next question comes from the line of Scot Ciccarelli with RBC Capital Markets. 
Scot Ciccarelli: I actually have another SG&A follow-up. I mean, obviously, you guys had very strong leverage in the quarter. You talked about that continuing going forward. But looking at the data a little bit differently, you generally have been posting SG&A per store growth about 2% to 3% unless comps were, call it, sub-1%. This quarter it was only about 50 basis points on a very strong mid-single-digit comp. Can you help us better understand what changed in the expense growth rate? Is it -- you just don't have to spend anymore on labor and you've kind of talked out? Is it advertising flattening out? Is it reduced losses on international ops? I guess I just want to understand kind of what's changed in that run rate and how that -- how we should think about that going forward? 
Robert Hull: So we talked about the choppiness quarter-to-quarter and the flow-through. That's a variety of factors, performance relative to plan drives those accruals year-over-year, the nature of the credit program as we think about portfolio performance, loan loss reserves, that's driving some expense leverage second half of this year relative to first half. As I mentioned in my comments regarding building repairs and maintenance, our plan is more front half-loaded. Therefore we're getting leverage based on the timing of projects year-over-year. So there's just a variety of factors that contribute to movement year-over-year. I think that if I had to leave you with a punchline, you heard us talk about steps we're taking in payroll, in advertising, in direct spend that are sustainable will drive benefit through 2015 into 2016. 
Scot Ciccarelli: So our run rate, is it something -- Bob, is it something between kind of what we saw -- in terms of SG&A actual growth, is it something between what we saw in the first half and third quarter because of kind of the timing differences? Or when we try to think about the longer-term model, what's the right way to think about it? 
Robert Hull: So for 2015, SG&A grows at roughly 46% of the rate of sales growth. I think something close to that 50% is probably the right way to think about it. 
Scot Ciccarelli: Got you. And then just -- hopefully a clarification, there's a bunch of questions on Pro sales and ticket size. When you guys look at your ticket size buckets, the strongest growth continues to be in those higher ticket transactions over $500. Is it fair to assume that is primarily driven by Pro customers? Or is it kind of more of a 50-50 deal between Pro and DIY because of appliances and other high-ticket items, specifically within that over $500 bucket? 
Robert Niblock: Hull
 So as you think about the mix of our business, it's 70% Pro and -- excuse me, 70% DIY, 30% Pro. However, the Pro ticket is larger than the DIY Pro. So the driver of the big ticket is probably going to be closer to 60-40 DIY to Pro. 
Operator: Your next question comes from the line of Seth Basham with Wedbush Securities. 
Seth Basham: My question is around close rates. You guys had talked in the past about how you've done with close rates given the fact that you're optimizing labor. Any update there on how close rates and customer satisfaction is proceeding here? 
Robert Hull: So Rick talked about customer satisfaction. We continue to see very strong customer sat results through our customer-focused program. As you think about close rates, we've done a lot of things to address all potential factors that might impact close rate, both the quality and quantity of labor, the depth of inventory, the local sorting. Rick mentioned wayfinding, which is the ability to navigate our stores. So a lot of good steps we've taken. As a result, we're seeing roughly a 100 basis point improvement in close rate this year relative to last year. 
Seth Basham: That's helpful color. As a follow-up, just to tie the knot on the near-term outlook, comp store sale trends accelerated throughout the third quarter to a 6.6% comp in October, 11% on 2-year stack. How do you think about the fourth quarter? And can you hold that 11% 2-year stack rate? 
Robert Hull: That's the expectation. So we've seen good sequential progress through the quarters. We saw sequential progress through the months of Q3. And as Robert talked about in his comments, good momentum as it relates to the consumer and drivers of our industry. And each day, our execution continues to improve. So we feel good about the ability to drive and achieve or exceed the outlook we put forth for the year. 
Robert Niblock: Thanks. And as always, thanks for your continued interest in Lowe's. We look forward to speaking with you again when we report our fourth quarter results on Wednesday, February 24. Have a great day. 
Operator: Ladies and gentlemen, this concludes today's conference. Thank you all for joining. You may now disconnect.